Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Peabody First Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. [Operator Instructions] I would like to let you know that today’s conference is being recorded. I will now turn the conference over to our host Mr. Vic Svec. Please go ahead.
Vic Svec: Okay. Thank you. And good morning everyone. Thanks for joining us today. With us are President and CEO Glenn Kellow; and Executive Vice President and CFO, Amy Schwetz. It’s a pleasure to be here post-emergence and we look forward to continuing to reintroduce you to Peabody. While we have put out monthly operating reports through last month, this is an opportunity to provide context around our first quarter in a more traditional fashion. I’d like to note that we have prepared a brief slide deck that will accompany today’s remarks and that’s available on our website at peabodyenergy.com. On the slide two, you will find a brief agenda. Amy will begin with some takeaways and then discuss our first quarter financial highlights and full year targets. Glenn will then cover global industry fundamentals and our priorities going forward. We’ll then conclude with a Q&A session. We do have some risk factors and some forward-looking information; I encourage you to consider these, referenced on slide three along with our public filings and furnishings with the SEC. I would also note that we use both GAAP and non-GAAP measures and we reconcile those measures in our documents. And with that, I’ll turn the call over to Amy.
Amy Schwetz: Thanks, Vic, and good morning, everyone. I would reiterate our welcome to the members of the investment community and we look forward to keeping you apprised of our progress and prospects moving forward. On slide four, I’d like to highlight some key points that we would invite you to take away today. To start, we have seen significant improvements in comparison to the challenging first quarter of 2016, with sharp increases in volumes in the US and pricing in Australia that resulted in much higher revenues, earnings, adjusted EBITDAR and cash flows. The quarter was punctuated by a significant rise in PRB volumes off of the week comps of 2016 as well as strong contributions from both Australian met and thermal segments, which were two of our three largest contributors of adjusted EBITDAR. I would note that our positive results were somewhat muted in our met coal platform related to Cyclone Debbie as well as several temporary geologic and operational issues. Fourth, I’d like to emphasize that we are revising upward our met coal volume targets to include the retention of our Metropolitan hard coking coal mine in New South Wales. Our other operational targets for 2017 remain largely unchanged, same for U.S. volumes, costs and revenues per ton and same for Australian cost per ton. Finally, I’ll remind you that Peabody adopted fresh start accounting as of April 3, 2017. Our first quarter financial statements do not reflect fresh start accounting, our new capital structure or our new share count. Certain balance sheet items and income statements going forward will not be comparable to historical results including this quarter. Moving now to the results from the first quarter in more detail on slide five. Revenues of $1.33 billion were up 29% compared to the prior year on a 26% and a 17% in PRB Western shipments respectively. In addition, Australian metallurgical average revenues per ton increased 139%, while thermal coal revenues per ton rose 44%, compared to the prior year. Net income attributable to common stockholders increased $287 million to $122 million for the quarter, our highest net income in nearly five years. Results reflect $93 million in lower interest expense associated with the impact of interest under certain debt instruments being stayed during the Chapter 11 proceedings; this was partly offset by $61 million in reduced tax benefits. I will note that we intend to utilize the portion of our substantial 4.76 billion Australian dollar net operating loss position to offset cash taxes related to our Australian profitability. We believe these NOLs represent a major competitive advantage going forward. Adjusted EBITDAR increased $305 million to $390 million for the quarter. In addition to the obvious major drivers in volumes, revenue and costs, we experienced approximately $30 million in impacts related to the effects of Cyclone Debbie in Australia, which reduced sales volumes by about 200,000 tons and increased unit costs related to storm preparedness as well as the reduce stability to allocate fixed costs across fund. Also we had $20 million benefit associated with the sale of the Company’s interest in the DTA terminal in Virginia. A word about the use of adjusted EBITDA, which we have been using throughout the bankruptcy period and in our emergence materials? Adjusted EBITDA excludes the cost associated with the reorganization including hedging losses associated with pre-filing positions, reorganization related fees and expenses and a small amount related to Chapter 11 incentive programs. At the segment level, adjusted EBITDAR and EBITDA are the same. On slide six, let’s look into the segment information in a bit more detail. I’m pleased to note that margins across our five segments averaged 30% in the first quarter, driven by significant improvement in our Australian met and thermal segments, which comprised two of our three largest segments and the top two segments by margin. You’ll note that the Australian -- that Australian accounted for nearly half of our adjusted EBITDA for mining segment, this compares to only 3% in the first quarter of 2016 and demonstrates the enormous upside that can be driven by this platform. This also highlights the strength of our diversified business from the perspective of our regions and products. Turning to slide seven. In the U.S., adjusted EBITDA for the PRB was up 24% on a 26% increase in volumes due to greater customer demand. This was true even as overall electricity generation in the U.S. was down 1% year-to-date, showing just how competitive PRB coal is relatively to $3 natural gas. In the Midwest, margins per ton and adjusted EBITDA were impacted by lower realized coal pricing and higher fuel costs, but both were well within our expected 2017 targets disclosed two months ago. Western shipments increased 17% due to increased utility demand at several plants including the Navajo generating station in Arizona, which ran some 40% above prior year levels. Revenues increased approximately $6 per ton with some 60% of that improvement coming from a $13 million benefit related to our contractual resolution with a customer in the Southwestern United States. Favorable mining ratios at our Southwest mines resulted in lower unit costs, and margins per ton and adjusted EBITDA improved compared to the prior year that was impacted by longwall move and development work at the Twentymile mine. Turning to Australia on slide eight. Revenues per ton and adjusted EBITDA improved over the prior year in both Australian met and thermal mining segments on sharply higher pricing. While Australian metallurgical revenues per ton were well above prior year levels, the average price was muted due to carryover volumes and sales mix relative to spot versus contract. About 12% of our volumes in the first quarter were carried over from the fourth quarter, which you’ll recall had contracted pricing some 30% lower than Q1. The second quarter will benefit from this as we will shift carryover from the first quarter contracted volumes. In addition, we had a lower mix of our higher quality hard coking coal sold on a contract basis. The impact on realized pricing was exacerbated by the unusually large delta between contract and spot pricing. As we’ve noted at the bottom of this slide, the contracted price for the quarter was about 65% higher than the average spot price. I would note that we’re well above those spot pricing levels for coking coal and low vol PCI for the second quarter thus far. For Australian metallurgical mining, total volumes declined year-over-year as the Burton mine was put on car and maintenance in late 2016. Volumes as well as costs were also impacted by Cyclone Debbie and temporary geology issues at several mines during the quarter, including the reported gas conditions at the Metropolitan mine in January and February. While these raised first quarter costs, you’ll note that we are maintaining our previously disclosed cost target for the full year. All-in-all, Australian met mining adjusted EBITDA increased $147 million from a loss in the prior year to a positive $110 million in the first quarter of 2017, making it almost profitable segment. We believe that an often underappreciated part of the Company’s operations is the Australian thermal segment, which contributed more than $75 million to adjusted EBITDA just in the first quarter. Thermal mining revenues rose on improved pricing for export volumes while cost increased on greater fuel expenses and increased royalties due to the higher prices. Adjusted EBITDA increased 76% from the prior year on a 44% rise in realized revenues per ton. On slide nine, in the first quarter, strong revenues led to increased operating cash flows of $238 million. Peabody ended the quarter with $1.068 billion of cash which includes only unrestricted cash. What our end of quarter cash position doesn’t reflect is restricted cash of approximately $81 million plus $1 billion in restricted bond proceeds which were released from escrow in early April for use in emergence. Our cash number also excludes $594 million related to collateral for coal mine restoration in the U.S. and Australia. Our emergence cash was generally favorable to our targets and in fact was a net positive to expectations even while retaining the metropolitan mine. We also had benefits in other areas relative to operations. Middlemount’s contribution of cash after a return to profitability, the sale of DTA, improved working capital and lower capital outlays for collateral. These all combined to outweigh by about $50 million to $100 million, the lower cash in 2017 from retaining Metropolitan. Naturally, not all Chapter 11 expenses have been paid out. On [ph] unrestricted cash, we will have professional fees, some final claim payouts and other settlements that were reached prior to claim confirmation that combined total in estimated $275 million to $325 million in cash outlays for the remainder of 2017. I’ll conclude with the review of 2017 full year targets on slide 10. You’ll also find some helpful notes in the appendix to the presentation. As part of our commitment to transparency, we have started to provide even more building blocks than we given historically. First, we are raising 2017 met coal volumes based on retaining Metropolitan. I’ll also note that these targets do not include our 50% joint venture in the Middlemount mine, which provides us to exposure to approximately 2 million tons of met coal for our share. What hasn’t changed in the past two months? We are maintaining all major metrics in the U.S., sales volume by region, revenues per ton and costs per ton. We are also maintaining our Australia costs per ton range, important given the effects of Cyclone Debbie and other issues elevating Q1 cost temporarily. We’ve also edged up CapEx to reflect Metropolitan, which we now expect will add $5 million to $10 million per year for sustaining capital over the next five years. Finally, we’ve provided some different cost sensitivities for the Australian dollar currency translation, depending on a decrease or increase in the A dollar. One of the lessons from the past few years was our policy related to the use of forward contracts on the Australian dollar for corporate hedging. As a result, we have executed on the policy to secure out of the money auction as insurance against the potential increase in the Australian dollar in 2017, while still benefiting from NAV valuation. You will note that we’ve replaced seaborne met and thermal sensitivities with the more robust detail on the products and the notes included in the appendix. Not included in these targets SG&A and interest expense. But we would expect SG&A to run approximately $32 million to $35 million per quarter and interest expense including non-cash amortization, should be $41 million to $43 million per quarter. Two other housekeeping notes of interest. As of emergence, Peabody would have approximately 137.3 million shares of common stock issued on a fully converted basis. Also as of April 26, approximately 36% of the original holders of preferred stock had converted to common stock. I’ll finish my remarks with some brief comments related to the second quarter performance relative to the first quarter. We would expect some seasonal easing of U.S. shipments as is typical for the shoulder season, reduce results from coal trading which is unlikely to be a major earnings contributor. Given what we know now, met coal volumes will largely be in line with the first quarter with the major unknown related to full quarter pricing. We would expect met volumes to increase and met cost to decrease as the year progresses. And while the DTA sale was a one-time benefit to the first quarter, we do expect nearly $30 million in discrete second quarter cash collected from break [ph] related to transactions not completed. That concludes the financial overview. So, I’ll now turn it over to Glenn for commentary on the industry and Peabody’s priorities moving forward.
Glenn Kellow: Thanks, Amy. And good morning, everyone. Before I begin our discussion on the industry fundamentals, I would just like to say how pleased we are to be back and newly listed on the New York Stock Exchange. From our significant scale and diversity to the broad regions we serve to our strengthened capital structure to our outstanding workforce, I believe Peabody has much to offer the investment community. With that let’s take a look at the industry on slide 11, beginning the United States. A year ago, somewhat prematurely writing off coal based generation on a host to factors, but the first quarter of 2017 shows that those negative calls were highly misplaced. Consider that the first quarter saw hitting degree days down 4% on mild weather, gas generation down 16% and overall electricity demand declined 1% from the prior year, yet even against this challenging backdrop, we saw coal fuel generation rise 3% over the prior year, such is a difference that natural gas process can have on coal fuel generation. The chart on the right of slide 11 demonstrates what we have long noted that as natural gas prices rise, coal fuel generation response, particularly in the most competitive regions such as the Powder River basin and the Illinois basin. Peabody now looks 2017 US coal demand from electricity generation to rise some 30 million to 40 million tons relative to 2016 levels, lower than previous projections due to the heating degree days that were 19% below the 10-year average with overall demand higher than that given increased domestic demand for industrial sources and exports. As a result, stockpile levels are relatively comparable from the start to the end of the quarter. Peabody has substantial exposure to the Asia Pacific seaborne coal market for both metallurgical and thermal coal, so let’s take a look at those dynamics on slide 12. Within seaborne met coal, we saw strong continued import demand on a 6% increase in global steel production driven by higher demand both in China and the rest of the world. This occurred at the time of constraint supply with Cyclone Debbie in Queensland which initially disrupted shipping and heavily impacted the rail carriers ability to bring quality met coal to the ports. Beside of Queensland, exports about half of all seaborne on met coal in the world and the rail carrier projects approximately 20 million tons of shipments will be affected in the near-term. We see perhaps five million tons of lower shipments from the calendar year for the Australian met coal industry. Within seaborne thermal coal, China import increased 29% in the first quarter as the country continues to limit domestic output while Chinese thermal generation rose 7% over the prior year. Indian imports on the other hand declined 22% on increased domestic shipments. Longer term, we continue to point to [indiscernible] in Southeast Asia as the source for increased demand in thermal coal with Indian imports growing seaborne met coal demand. We believe the large share both of these increases will be certainly from Australia. As we’ve seen over the last two quarters, Chinese domestic policies are currently supportive, particularly for thermal coal sales. And on the topic of policies on slide 13, we would note that the first quarter saw regulatory policy in the United States to support both coal mining and coal fuel generation. We believe that the administration is taking bold and sweeping steps to deliver on its premises to support reliable, low costs energy and protect and grow jobs. Even though, it’s a summary, it’s already a pretty long list. We’ve benefited at the macro level from current economic growth policies underway in tax, GDP and regulatory reform. Within coal mining, we’ve seen a number of actions such as the repeal of the so-called Stream Protection Rule, which would have laid on thousands of pages of U.S. regulation with no clear improvement to the environment. In the context of how coal is used, I would say the decision last week at the DC court of appeal to the suspend ruling on the prior administration’s clean power plant regulations that would have impacted coal fuel generation with no noticeable benefits to the client. We are also highly encouraged by commissioning a review, while the Secretary of Energy on the impacts of alternative generation subsidies on harming reliability and affordability through premature retirement of base-load coal and new fuel plants. And we would expect the recognition of coal’s essential role in the energy mix will also come in the form of international priorities and areas of emphasis. Turning to Peabody’s second quarter priorities on slide 14. We intend to work with customers and the well operator to build met coal shipments in Queensland as rapidly as possible. The rail line [ph] is now back in service but the mine line running at reduced speeds. We’re also finishing up an extended longwall move at the Metropolitan mine in New South Wales. This move began in mid March and is expected to be finished up at the end of this month. Whilst we’ll continually evaluate our portfolio, the renegotiation of Metropolitan increases our exposure to met in a higher pricing environment and provides an alternative to the Queensland rail system. We’ll continue to target thermal coal exports to capitalize on the strong markets. While Peabody’s thermal coal volumes weren’t [ph] affected Cyclone Debbie, the industry fundamentals remain tight and there still has been no resolution to the Japanese fiscal year thermal contract that typically takes place for shipments beginning April 1. We also achieved the milestone last week with approvals from the New South Wales planning commission, reduce the lot extension for the Wilpinjong mine through 2023. This is one of Australia’s best thermal mines and anchors what we believe is a Tier 1 integrated thermal portfolio. I would also note that we will look to finish our annual review process in the second quarter, optimizing mine plans to reflect the more favorable short-term pricing environment. We also intend to continue to managed our cash flows, whilst using our annual review process in the second quarter to formalize our dividend and capital allocation policies including debt reduction targets. In closing, Peabody is the only global pure play coal investment. We have significant scale, quality assets and diversity in geography and products. We serve some of the very best U.S. and high growth Asian regions, and we’re intent on generating cash, reducing debt and returning cash to shareholders over time. In short, we believe that what we call the new BTU is positioned to create substantial value for shareholders. With that we will be happy to take your questions at this time.
Operator: [Operator Instructions] Our first question comes from the line of Jeremy Sussman with Clarksons. Please go ahead.
Jeremy Sussman: Hi. Thanks very much for taking my questions.
Glenn Kellow: Good morning, Jeremy.
Jeremy Sussman: Good morning. So, maybe just first start off in terms of met coal production. I want to go back to the presentation you guys put out during the bankruptcy process where you have volumes declining to I think roughly 5 million tons probably four, five years out. I think Metropolitan probably changes that a little bit, but still maybe would like you to talk around that. And specifically, if pricing -- you obviously put out the price deck as well associated with that. So, I mean if pricing stays strong, what type of volume declines will we see or do you think volumes can hold up if pricing corporate?
Glenn Kellow: So, Jeremy, as you indicated at the time of further restructuring, we do put out a business plan that as you highlighted was based on care and maintenance of the Burton mine, the previous closure of the Eaglefield mine and then assuming the sale of the Metropolitan mine. As you know those number as we’ve noted before, those numbers did not include our share about 2 million tons of the Middlemount mine. Those assumptions were based or are based on at the end of that period retaining what we believe two high quality, high margin mines in North Goonyella and Coppabella, allowing the PCI mines to mine in the appropriate level given the strip ratios. Now, as you indicated Metropolitan had additional tonnage to that feature and also that is part -- which I alluded to as part of our normal mine planning process, we will look at scenario planning to understand that piece better going forward.
Jeremy Sussman: I appreciate that. And maybe just switching gears to the balance sheet. I think you communicated in March that you kind of target leverage ratio was two times debt-to-EBITDA and clearly for just annualized Q1 you’re already well -- much better than that. So, I guess I’m trying to get a sense of whether or not 2017 could be a year where maybe we do see a meaningful dividend or other type of shareholder returns on top of what you’ve of course already talked about in terms of paying down debt. I mean, it’d seem that you put yourselves in a position to perhaps execute on those this year?
Glenn Kellow: Yes. Thanks Jeremy for the question. I’ll start off and I’ll turn it to Amy a bit about the credit agreement. As we’ve indicated in the earnings release, we do expect over the next three months to be working on our capital allocation and dividend policies. We’ve got a new Board, bright and engaged and hit the ground running. And I would like to work with them to provide that update at the next quarterly call. Having said that, Amy, might want to talk about the credit item.
Amy Schwetz: So, our credit agreement does provide us with flexibility in terms of dividends beginning in 2018 and with the specific dividend baskets of $25 million. That dividend basket can be supplemented with our restricted payments basket, which actually grows over time and as our economic performance continues to demonstrate our ability to make cash outlay. So, as Glenn indicated, it’s a priority for us to have that policy developed and implemented.
Operator: And our next question will come from the line of Michael Dudas with Vertical Research. Please go ahead.
Michael Dudas: Good morning, Vic, Glenn, Amy. Welcome back. First question, Glenn, on the global thermal market, I think people have been pleasantly surprised with the opportunities that have come about relative to policy issues in China and demand for those. Could you maybe elaborate little bit more on how sustainable you see that given your customer discussions and given the fact that we’re still waiting for the Japanese benchmark for April 1, which hasn’t come true yet. Could expectations be exceeded as these market dynamics turn?
Glenn Kellow: Well, Michael, what we’ve seen in terms of policy support over the last couple of quarters is that it seems as though that Chinese have found the right regulatory tools to support -- to have supportive policies and those tools appear to be quite effective. So, we are still seeing a supportive international market. And as I indicated, we intend to take advantage of that market going forward. The JFY annual contract negotiations had been deferred. We understand that that is the intent to reengage after the traditional golden week period in Japan. But like you, we’ll aren’t participating in that unlike the met coal negotiations but we will be keeping a keen eye on that for obvious reasons. But that highlight and Amy indicated it as we do feel as though our international thermal platform has traditionally been sort of under-recognized as a key part of the platform. And you saw it to stand out in the first quarter; we believe that’s Tier 1 and it continues to perform at the Tier 1 and as we move forward any positive movement in that market, we’ll be well-positioned to take advantage of.
Michael Dudas: Certainly even with India now that you’re participating as much. My follow-up, Glenn would be you maybe could share some thoughts, bit more closer to the ground on how things are recovering after the cyclone in general and along the lines in your mind? And is there point in time in the second half of -- calendar year 2017 where met coal comes back on line and [indiscernible] normalized level of production of sales that could benefit from the Canadian market in the second half of 2018?
Glenn Kellow: Yes. So, as we’ve indicated, we probably had about a week’s impact of production in that first quarter. And that was essentially as the cyclone was nearing the coast. You do take cautionary measures with respect to the operations at the mines, the rostering of the workforce. I’ve got to say from our perspective that was pretty effective. And we did indicate getting back on line relatively quickly for our operations. So, I’m pretty proud of the performance of our site teams in that regard. Having said that, I think as everyone knows, it’s been initially leading to our rail system but in particularly within the rail track that has continue to be impacted. We see that running at about 60% effectiveness. At the moment, to use kilometers but tracks, these are being limited to 60 kilometers an hour. And there is a particular region where they are down to about 40 kilometers per hour. The operator has indicated that roundabout 15th of May, they should remove at least the main line 60 kilometer an hour limitation. There also is some ballast repair equipment that have been operating on the mine, the main line that has added through the congestion. So, the next couple of weeks I think should be pretty telling in terms of getting that track back upto normal operations and then there is obviously congestion and backlogs et cetera that will go on beyond that. As Amy said, we also had some Q1 price contracts that we expect to move into Q2 as a result of that type of activity. With respect to your volume -- clearly, the focus areas as I said we’re getting that ramp up and build up with the rail making sure that we get Metropolitan back on line, which gives us diversification away from that rail. And we’ll be ramping up volumes, but that would be sort of contained within our guidance range that we’ve indicated for the 2017 year.
Operator: And we will go to the line of John Bridges with JPMorgan. Please go ahead.
John Bridges: Hi, everybody, welcome back. Perhaps accounting question, perhaps for Amy. The $594 million provisions against the ARO liability of 707. Looks a bit high compared to some others, might you be able to recover some of that cash?
Amy Schwetz: Certainly it’s a goal of mind as we move forward, John. The biggest difference between our situation and what we’ve seen from others in the US coal industry is the Australian component of our ARO obligation. You may recall that in the past we’ve used bank guarantees to provide financial assurance to the state governments in Australia. Over the course of the bankruptcy, those bank guarantees which were backed by LCs became actually cash backed as those LCs were drawn during the filing. So, that collateral now sits with the governments in Australia. And we will be working over time to see if there is a way that we can free up that liquidity for other uses.
John Bridges: Okay, great. And then, as a follow-up on Metropolitan. That sounds like a pretty major longwall that takes from March to May. And then, could you give us a bit of color as to what this mine is all about? I know and you’re trying to sell it when the sale [indiscernible]. There seems to be a sense there is quite a bit of capital coming down the pike for that mine, also coal quality aspect. Thank you.
Glenn Kellow: So, I think at the time the sale of the Metropolitan mine had a number of advantages to us, we were looking to support the Australian platform during the course of the restructuring. We had indicated that it had a higher cost above average to a Q3, Q4 sort of cost outcome. And from our perspective, in order to drive that down further, it requires significant capital. On the other hand, South 32 had some synergies. And from our view point, they were willing to share those synergies through the course of the negotiation. Taking on board Metropolitan now, our focus is on reintegrating the work force, looking to take advantage of extended contracts in international markets, 2018 and beyond with our international customers. And we think we can continue to optimize that mine based on the market situation and the more favorable market situation that exists at this point in time. Having said that, we’ll continue to review our portfolio as you would expect as doing a natural thought. The longwall moved itself, so the issues which I think were reported through the course of the quarter, we initially have some gas conditions which slowed down the advance in the previous panel. And as we’ve moved in to effect of moving to the new panel, we have had increase our level of gas drainage and our methodology of gas drainage associated with opening up that new panel. That has I guess and was planned simply an extended move, but the gas drainage has added a little bit more time around that. Having said that, we believe the steps we’ve taken now will probably mean that the next time we move in this panel we’ll probably be able to tap the time down to what we were previously contemplating and that’s one of the optimization things I was talking about associated with this mine.
Vic Svec: And just a few more kind of statics to ground people around that that is near benchmark quality on the hard coking coal side of the house. You’d asked John about CapEx; we know that that’s probably 5 million to 10 million a year of sustaining CapEx moving forward. So, not too big of a dollar sign there associated with that and you’ve seen that reflected in our revised 2017 CapEx guidance. It does have a good reserve life about 26 million tons of SEC reportable proven and probable reserves there for a 2 million ton a year operation. And then one other elements that’s notable particularly in this environment, it does give us the geographic diversity relative to the Queensland coking coal since this is a New South Wales and goes out...
Operator: We will open the line of Daniel Scott with MKM Partners. Please go ahead.
Daniel Scott: Hi. Thanks very much. My first question is on the coking coal guidance for volume. Like you said, you expect second quarter to be roughly in line with first quarter, so that’s about 4.5 million. And to get to the full years, reported guidance would imply about 3.5 million per quarter. Is that the kind of the run rate we can expect for the next few quarters, if pricing remains strong around 14 million tons a year?
Amy Schwetz: I think that’s about right between -- on a run rate basis between the 13 million and 14 million ton range with obviously with longwall moves sprinkle the merit at Metropolitan in the fourth quarter of this year again, we are on a longwall move holiday at North Goonyella until the middle of next year.
Daniel Scott: Okay, great. Then on the thermal side, I want to maybe get a little more color on how you view, expect to price the export thermal out of Australia? How much is spot sales versus against the benchmark?
Amy Schwetz: Sure. So, with respect to -- and you’ve touched on the fact that we do have obviously a domestic contract out of Australia that is roughly 7 million tons a year. In general, about 60% of our seaborne thermal sales are done on spot basis and the remainder is sold under long-term contracts. And we have a range of products that we sell on the thermal side, our Wambo product being a premium product, our Wilpinjong product being a little lower quality. On a weighted average basis across all of those products, we would generally see about a 90% to 95% pricing level to the Newcastle index price.
Daniel Scott: Okay, great. And then last for me. Looking on the domestic side, it sounds like from both you and peers that PRB has been pleasant surprise so far this year. Has the pace and the duration of RFP started to pick up in a bullish fashion with gas rolling above three bucks? And are you seeing a similar sort of response here from Illinois Basin or is that still fairly challenged?
Glenn Kellow: Yes. I think on the PRB, we are seeing it pick up. But it’s going to be really pretty clear to the sort of summer, I think we end up having it and how gas prices hold through the next quarter as to how that will continue to evolve. On the Illinois Basin, couple of factors there. I think there is natural gas still has its supply and we are seeing a lot of contracting. I would say that is bigger competition in coal in the Illinois Basin as well. So, that is impacting on overall sort of outcomes.
Amy Schwetz: Yes. One thing I’d note with respect to our price position for 2018. At the time that we were out marketing our bonds, we were about 43% priced across the US for 2018. And as of right now, we are right around 52%. So, we have seen a decent amount of contracting activity in the first quarter of the year despite what is probably less than stellar weather for utilities to be thinking about buying tonnage.
Glenn Kellow: And just one other fact right on the PRB, you are right, off to a very good start and we talked about the fact that on a coal versus gas basis, coal up 3% on generation while gas generation down double digits, 16%. And yet when you look at the PRB, the consumption is up some 15% year-to-date. So, really a gangbuster off of where there are admittedly some weak comps year-over-year.
Operator: Our next question comes from the line of Lucas Pipes with FBR & Company.
Glenn Kellow: Good morning, Lucas.
Lucas Pipes: Good morning and welcome back. Great to have you. So, I wanted to follow up a little bit on, Amy, your second quarter comments. I think the steady -- a lot of price volatility then there is a longwall move, obviously some volumes were impacted. Could you remind everybody just numbers, getting the right ball park, what should we be looking at in terms of met coal volumes in the second quarter? Prices, I think you gave us fair bit of color in the release, but maybe a rough ball park there as well. And then importantly on the cost side for Australian met coal, I would appreciate your comment on that. Thank you.
Amy Schwetz: Sure. So, starting with the volumes. I think that we’d expect to see volumes pretty similar to where we were at in Q1 from a met coal volume perspective. Unfortunately, we had very few if any shipments, really only what was at the port in month of April from a met coal perspective. So, we are really working to see those shipments get ramped back up in the May and June time timeframe. From a cost perspective, it’s going to be a challenging quarter, just given both the longwall moves at Metropolitan and the recovery related to the wet weather. So again from a cost perspective, 1Q is probably a better guide than our guidance range for the full year. But between that ramp up in volume that we’re going to see in the back half of the year and some of the cost containment initiatives that are in place in Australia, we are anticipating that in the third and fourth quarter. We’ll see a rapid decline in our cost basis and end up between that range that we’ve given in the $85 million to $95 range for the full year.
Lucas Pipes: That’s very helpful. Thank you. And then, I want to follow up on the $594 million of restricted cash, and ask on those in a slightly different fashion, two-fold. One, could you provide us with the breakdown between what sits in Australia or what is kind of used in Australia and what is used here in the U.S.? Number one. And then, number two, Amy, I think you said that historically you used bank guarantees. Could you be thinking about all of this going back to bank guarantees some point in the future or was there may be a split between cash and bank guarantees in the past? Or put differently, how much cash did you utilize in the past versus today? I would appreciate your thoughts on that.
Amy Schwetz: Sure. So just over two thirds of the cash that’s in that number is in Australia versus the U.S. Traditionally, there has been zero cash that has been restricted in this manner or near zero. Really the use of collateral for our bank guarantees began in the third quarter of 2016. And if the situation that evolves over the course of our financial distress from being fee backed to ultimately being cash backed. And so, this is something a relatively new phenomenon to us. But as I indicated, it’s obviously something that has our attention and moving forward we’d like to find a way to provide financial assurance for those obligations in a way that doesn’t restrict quite so much of our liquidity.
Glenn Kellow: And so one is the financial investment we use but I’d also build on even in United States. We believe we still qualify for funding, we believe funding is viable to us. And we would be seeking to reengage around that at some point with the sites and the regulatory agencies.
Operator: Our next question is from the line of Mark Levin with Seaport Global.
Mark Levin: Two big picture questions, one is strategy, Glenn. When you think of the Australian and the US operations, do you -- I mean do you envision at some point splitting the two, do you think that there is more value in separating them or do you think that there is more value in keeping them together?
Glenn Kellow: Well, our objective is to create -- to maximize the shareholder value under any scenario. We actually think at this point in time the investment thesis is around bringing the only global pure play coal investment. You can see the strength of the platform and its diversity and scale and that’s stable as US platform and the outperformance that we saw at the Australian platform in the first sort of quarter, the cash generation that the overall enterprise is able to master. Having said that, our objective is around maximization of value. So, we’ll continue to look at our options and taste those sorts of theses. So, I think that would be a natural part of what you would us to do going forward.
Mark Levin: Got it. And that make sense. And then, moving over to Amy. The mechanics of the restricted payment basket to which you referred. So, I think you noted that there are some restrictions with regarding to paying a dividend in 2017 and you referenced to $25 million cap in 2018. But also, just on this exclusionary factor where you have this restricted payment basket. Can you maybe explain in greater detail how that works and how that might affect the timing and what -- the timing of capital allocation or capital return. And what the magnitude could potentially look like?
Amy Schwetz: So, the restricted payments basket is -- to a leverage ratio. It start at dollars [ph] and then grows from there depending on leverage ratio going forward. So, obviously that’s a pretty significant matter to that $25 million dividend basket that we have, and it grows with obviously with that cash flow and net income. So, it’s become sort of process in terms of how market could be but out of the gate you’ve got the 25 and the $50 million available.
Mark Levin: Got it. And then, finally, one modeling question related to net realization potential met realizations in Q2. I think you referenced 12% carryover in Q1. If you have to think about Q2 and what the percentage carryover might look like and then also how much might expect to sell spot versus how much would be tied to the contractual price? Thank you.
Amy Schwetz: So, I think starting with your question about the carryover, I think that we’d be looking at sort of similar impact going from Q1 into Q2 on that carryover tonnage going forward. We would expect to be more heavily contracted, as we look at Q2 versus Q1 in part because of those contractual tons coming in. And because the tons that we were contracted for in the month of April, will be -- will need to be shipped in May and June. That all being said, I would point to the fact that although we are contracted, we are not necessarily priced for Q2 and that remains sort of the largest open issue as it relates to the quarter in terms of the settlement of the benchmark contract.
Glenn Kellow: And as I’ve indicated before, similar to thermal, there has been -- the parties have deferred negotiations in the run up to the cyclone or through the cyclone in the volatility that was occurring. We’ve now had golden week in Japan, but we do expect along with the number of other producers to be back at the negotiating table next week.
Operator: Next question is from the line of Paul Forward with Stifel. Please go ahead.
Amy Schwetz: Good morning, Paul.
Paul Forward: Good morning. I just wanted to ask about on the met coal side of things; you’ve mentioned plans for a number of the mines, but I think two that didn’t get mentioned were Millennium and Moorvale. I was just wondering if you could talk about, once we’re through the Debbie situation, can these mines keep operating at the 2016 level for a while. I think between the two of them, they did 5.7 million tons or should be bundling in depletion over time and there is depletion is there opportunity to force more capital and offset that elsewhere?
Glenn Kellow: I think as an earlier question, we had assumed our planning processes around that strip ratio occurring, which meant that there would be depletion of the production profile over about a five-year period. Having said that, I also indicated that one of the things we’re looking to do in the mine planning process is an area of planning that may enable to flex or not that, that work is not yet be completed, that clearly focused on answering that question.
Paul Forward: Okay. And just maybe thinking along those lines, if there is a need to replace some depletion and the markets are supportive of coking and PCI coal pricing, is the midpoint $180 million on CapEx? Where do you think that should go over the next couple of years? Are there opportunities to deploy that with reasonably high returns?
Glenn Kellow: I think the high return is probably the key there. And I’ve said we regard the coal or the met coal platform as being those high margin mines in Coppabella on PCI and North Goonyella on hard coking coal. So, I think the capital allocations and capital priorities and the ability to expand, I think our focus would first and foremost be around those mines with respect to capital.
Amy Schwetz: And I think some of our decisions as it relates to the PCI mines that you specifically referenced is really around acceptance of higher operating costs versus deployment of capital. And so certainly what we want to be aware of is as we approach those decisions is how long are we locked into those higher costs, given the volatility of the coal markets. So those will be decisions that we’ll continue to look at sort of on a quarter-by-quarter basis as we approach the back half of our plan.
Paul Forward: Great. And…
Glenn Kellow: Let me also add a thing -- lower the cost profile, we’ve integrated mobile activities into the operations of the Coppabella activities. And that lower cost profile line extending the life. Similarly Millennium we’re looking at doing a number of things that will continue to lower cost and keeping that mine competitive. But you should -- what we said around the plan sort of indicated the trajectory at the processing levels that we previously assumed.
Paul Forward: Thanks and just last question. You’re 52% priced in the US for 2018, just wondered if you could give us a little sense or should we anticipate that to be flat or down versus 2017?
Amy Schwetz: I think as we look at specifically the PRB which is where we have a significant amount of our pricing activity taking place. I think we would expect that to be down marginally, call year-on-year. I’d say that terminating in dimes rather than dollars as we look at that average pricing year-over-year, obviously our PRB mines have different -- have varying levels of products. And so, some of it will depend on mix. And I note that what we’re really focused on is maintaining those 23% to 25% or higher margins out of that regions because some of our lower quality products have really strong margins.
Operator: And we will open the line of Nic Caiano with Pinyon Asset. Please go ahead.
Nic Caiano: So, I have a question, by my estimate, the company should generate about $1.5 billion in EBITDA by the end of this year which would equate to roughly $1.1 billion in free cash flow or roughly $8 per share. If we’re able to bring the $600 million back on balance sheet, that would be an additional four and change, effectively $13 per share in cash. So, either -- to me it seems either the market doesn’t believe the amount of cash that will be generated or the market is concerned about what will be done with the cash. You highlighted what you’ll do with the cash. Can you highlight what you will not do with the cash?
Glenn Kellow: I think you are talking to a team that is carrying a few guys [ph] and understands sort of the lessons and also has some reflection around some of the lessons and learnings of the broader industry, not just this company. So, this is a team that’s focused on shareholder value, on shareholder returns, this is the team that’s going to be focused on ensuring that we have the right capital structure and debt structure but our job is to return to shareholders over time. So that’s the filter. So, I’ve got to talk about the things we’re going to do because they’re going to be constrained by that filter and basically we are not going to do anything else.
Nic Caiano: Okay. So let me ask you this. A lot of people were talking about the restricted payments. Is it incorrect to think if -- by year end effectively on a net basis I think will be at net zero debt. If that’s the case couldn’t we renegotiate the debt agreements such that we would even have to deal with the restricted payments?
Amy Schwetz: I think that is something that my team will look at on a fairly regular basis as to whether or not we feel like the debt agreements that we have are too restricted given our financial strength will obviously weigh that as what we view as being accretive to shareholders in terms of any costs associated with amending them. We do believe that from a pricing standpoint, we have extremely competitive debt instruments; we’re happy with the tenant of those programs; we’re happy with the flexibility that we have with respect to prepayment of the instruments that we currently have in place. But the flexibility, as you’ve noted is something that we’ll have to continue to assess moving forward.
Operator: Thank you. And our final question will come from Chris Kenny with Aurelius Capital. Please go ahead.
Chris Kenny: Hey, guys, I have a quick question for you. In the disclosure statement,, you all had listed somewhere around in the order of $600 million of sort of net cash outflows for emergence. And if I’m reading your slides and presentation right, you’ve already spent sat 150 in the first quarter and then that leads you roughly 300 over the back part of the year. Is that right, am I doing the math right, is that apples-to-apples?
Amy Schwetz: Yes. So, Chris, this is Amy. You’re correct. Emergence cash flows are going to be lower over time than we’d anticipated and that’s largely associated with the collateral that we use for our US bonding solutions which was lower than we’d anticipated in our exit cost originally.
Chris Kenny: Okay, great. And then just follow-up on the $600 million. I guess the $600 million, there is at least $50 million that was from AGL which sounded like from other disclosures you’ve already received that. Is there any other like really easy money that should be now to come?
Amy Schwetz: I wish. I think the remaining are going to be the harder ones. But we still intend to run them out.
Operator: Okay. That was the final question. I will go back to Glenn for any closing remarks. Thank you.
Glenn Kellow: Thank you. And thank you for that discussion. I would in closing like to extend my appreciation to our employees around the world for their ongoing commitment to ensuring safe, productive operations and continued delivery of value. I would also like to thank our current shareholders, potential shareholders and sale side analysts for your interest in the new BTU. We look forward to keeping you updated through a robust investor outreach program as time goes by. Operator, thank you. And that concludes our call.
Operator: Thank you. Ladies and gentlemen that does conclude your conference for today. Thank you for your participation and for using AT&T Executive Teleconference service. You may now disconnect.